Operator: Good morning. My name is Chris and I'll be your conference operator today. At this time, I would like to welcome everyone to the Park Aerospace Corp. Fourth Quarter FY 2020 Earnings Release Conference Call and Investor Presentation. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. At this time, I will turn today's call over to Mr. Brian Shore, Chairman and Chief Executive Officer. Mr. Shore you may begin your conference.
Brian Shore: Thank you, operator. Good morning, everybody. This is Brian. I have with me Matt Farabaugh, our CFO, of course. Welcome to our fourth quarter conference call. As you probably know, there's a presentation that we're going to go through today. It's posted on our website. And you really want to get a hold of that presentation, get it up on your screens, so the call will be much more meaningful that way, as we walk through it. Also, there's some supplemental financial information that's attached to the presentation as Appendix 1. So what we're going to do today is, cover our fourth quarter numbers. We'll talk about the pandemic and the economic crisis and the impact on the aerospace business from our perspective. We'll talk about the impact on Park and our perspective on it. And then, we'll also talk about what's going on at Park. I just want to warn you that this is a pretty long presentation. There's a lot to cover we think. And, sorry, it could take -- I think it's going to be an hour, but it could be close to an hour so just be prepared. At the end of our presentation, of course, we'll take any questions that you might have. So I think that covers the preliminaries. Why don't we just dive right into it, because, like I said, we have a lot to cover today. So the slide two is our forward-looking disclaimer information. We're not going to read it or discuss it. But if you have any questions about it, you let us know. Slide three, so right into our Q4 results. So let's just talk about it. The sales for Q4 were $15.494 million, you can see that in the right-hand column. And what we said in our Q3 conference call on January 9, was that sales would come in between $15 million and $16 million. So we came in right in the middle of that range. And during that same conference call, we said our EBITDA estimate was $3.1 million to $3.6 million. We came in $3.612 million, so a little tiny, tiny bit above the top of the range for Q4. So let's just go back and talk about Q4 for a second. But, first, I just want to remind you about our philosophy about these forecasts. So a lot of companies we know, the agents' process where they put out numbers that they expect to beat. And to us, it's kind of a silly thing. When we give you numbers we're telling you this is what we think is going to happen. We could be wrong, but we're telling you the truth. This is what we think is going to happen. Actually one of our principles is integrity, meaning that we tell the truth. We don't say it's X minus three, if we really believe it's going to be X. So then when we come in with X then we're heroes. We don't do that. So we give you a number, we say this is what we think is going to happen. Now, not an easy number, we think it's going to happen. This is what we think is going to happen, based on what we do, which is work very hard and bust our rear ends to get the job done. And Q4 was no exception. It's what seems like ancient history to me too. But if you go back to the third quarter conference call on January 9, remember we were saying that we had a real problem with the fiber shortage at that point for Q4. It wasn't pretty. So finally, fiber started coming in, in January, but most of our fiber needs to be woven. So it just means it comes in, it doesn't mean we could use it. We have to still have it woven and that takes another week or two. So we had to make the quarter, if you will, in the last couple of few weeks of the quarter. So when we gave you these numbers, we were thinking, we were really behind the power curve at that point, on January 9. But we've nevertheless said, we're going to get it done. Sometimes we get it done, sometimes we don't. But we do have another principle is, we do what we say we're going to do. And we don't always get it done, but it's very important for us to live up to what we say we're going to do, do everything possible. In this case, we did, even though we were way behind the power curve. So our people did an excellent job in getting the ball over the finish line by the end of Q4. And actually, we gave our hourly people a little bit of an extra bonus. And what we paid for that was our salaried people the reduction in their bonus, the year-end bonus to pay for the hourly people bonus, because we want to recognize the great work that our hourly people did, our production people did, to get that ball over the finish line for Q4. Okay. Like I said, it probably seems like ancient history to you, but this is our Q4 conference call. So I want to talk about it a little bit. Let's go on to slide four. So this is just our annual numbers. We just add everything up. And you see, for fiscal 2020, our sales were a little over $60 million. Our EBITDA was a little over $13 million. I won't spend a lot of time talking to you about slide four. I guess, I would just maybe say, I think, the top line progression from 2017, 2018, 2019, 2020 is interesting, at least it is to me. Why don't we keep moving? So let's go on to slide five. So something a little different here in slide five. We have our pie chart graphics, which are updated for fiscal 2020. But there's a new graphic on the bottom right. The bottom left is a graphic we've used in the past. When we go through the top five customers and these are for the year, not for the quarter, this pie chart at the bottom left will be helpful. So let's do that. First one is AAE Aerospace, that's going to fit into that rocket motor and nozzles section. So that's the programs that AAE Aerospace is going to be feeding into. We've spoken about those programs sometimes. Sometimes we can talk about them and sometimes we can't. They're all defense-related programs. AAR is a larger company that does contract work for different OEMs. In this case, it's probably a lot of interiors and maybe for business jets maybe like Gulfstream. So that might fit into that business jet category -- business aircraft category rather. Kratos Defense and Security Systems, very important customer, we’re very happy to have them as our customer. We're told that we're the main supplier of prepreg materials for their drones their target drones and their tactical drones including the Valkyrie, the new Valkyrie which I think everybody's pretty excited about. Kratos is going to fit into that drone category. So the drone category in the bottom left Middle River, Aerostructure MRAS you know who they are. They're the jet engine group. So, we're not going to spend a lot of time with them. NORDAM, they do work for a number of different OEMs, but in this case mostly for jet engines for GE Aviation and also some radome work. I see radome, which also on the bottom left pie chart. Now, there is a reason for the bottom right pie chart. You'll see as we progress through the presentation, what the reason is, because we think that will be helpful in giving us perspective on where we're going in the future. But let's talk about how we get from the left to the right. So jet -- let's stay on the left. Jet engines that actually breaks down to commercial and business aircraft mostly commercial, but we also had -- GE Aviation also has -- one of the GE Aviation programs I should say is the Passport 20 for the Bombardier Global 7500 which is a business aircraft. If you look at next going -- let's go counterclockwise, drones that's going to go into military all military. Radomes is going to be partly military and partly commercial. Business aircraft of course that goes into business aircraft. Rocket motors & nozzles that's going to be all military and military obviously is military. So, we took a different perspective on the bottom right and we'll go back to this bottom right pie chart throughout the presentation and you'll see why as we get there. Okay. Let's go on to slide 6. So we're going to talk about the impact of the pandemic and the economic crisis on the aerospace industry. Okay. Sorry. How will the pandemic and economic crisis impact the global aerospace industry? How will it impact Park? It is not possible to quantify the impact at this time but the impact is and will be significant. There are four key questions that need to be answered in order to really get a handle on the degree of the impact and the length of the impact. How deep will this event go? How long will it last this economic crisis? What will recovery look like? And what will the global economy and the aerospace industry look like on the other side? Well those are big questions. And the problem is of course nobody really knows. A lot of people have opinions and you can listen to a lot of opinions, but they're not consistent. And I think the real answer is that most people are just guessing. Observations and perspectives on impact of crisis in the aerospace industry, so now you'll see where this new pie chart fits in. First, military seemingly limited so far. For us very limited. It seems like the military segment of aerospace is hanging in there as they say. Commercial aircraft, the impact is very significant. Airlines, obviously the commercial aircraft manufacturers are selling airplanes to the airline industry. So that's why it all is tied together. A large number of airplanes are parked. Many, many flight cancellations and flight loading is very light. And we get to next page slide 7. Let's talk about the aircraft and engine manufacturers themselves. We've got furloughs. We've got temporary plant closures, significant reductions in rates, so all these things are in the negative column so far. Business aircraft industry also the impact is very significant dramatic reduction in business aircraft flight operations, furloughs again, temporary plant closures kind of a very similar story as the story with the commercial aircraft manufacturers. So let's go to our pie chart again here. So you see it has relevance. Military that's about one-third of our business maybe a little bit more than that. This is an area we like to actually grow military. So, we're very happy that we have the military content we do. We'd like to have a little bit more of it. So military, we'd say at this point that's pretty good, pretty safe. Commercial and business at much risk much risk for commercial and business because of the economic downturn or crisis I guess we should say. It's more than a downturn isn't it? Slide 8. So we're continuing to talk about the impact of the economic crisis on the global aerospace industry. Now let's talk about commercial and business in terms of what has to happen for these industries to recover, okay? Commercial aircraft industry recovery considerations. Jet fuel prices. So maybe that's not obvious, but let's talk about that. Obviously crude has been way down. And to come back it was negative for one day. That was kind of interesting. I didn't know what to make of that. Maybe you folks had a better ringside perspective than I did. But it's still quite off from where it was a few months ago. And that's actually the impact, a negative impact for the aircraft manufacturers. Why? Because, one of the motivations, one of the key motivations that the airlines have for buying new airplanes is better fuel efficiency. So, when jet fuel is x or let's say crude is at $16, good motivation. The crude is in the 20s then, jet fuel is significantly lower the motivation is still there, but it's not as much. When an airline company buys an airplane they have people with bean counters at their back. They do modeling, where they put all their costs. They have to justify the airplane based upon an ROI which takes several years. They put a lot of assumptions in that model. What's the most key assumption probably? It's going to be jet fuel prices. So if jet fuel prices are lower, it has an impact on those decisions, okay. Some of the other ones are just obvious, but we'll put them down here. These considerations are the recovery of the economy or reopening the economy, the economic recovery, social distancing on airplanes, airlines kind of an interesting concept a lot of talk about this. They're going to do social distancing on planes. They have less seats, at the gates, boarding, onboarding, at the airports. A lot of discussion about how that's going to work, but I don't think anybody really has figured it out yet. A fear factor. That's really a hard thing to gauge. It's certainly a hard thing to predict because it's not fear almost by definition. It's illogical. It's emotional. So -- but it's nevertheless very real. The fact that it's emotional, not logical doesn't mean it's not real. It's very real. So what does it mean? A lot of people are going to be afraid of getting on airplanes for a while. Some people are not. I mean, I know people going on airplanes but some people are. And my perspective and the media certainly is doing a lot of help for us by scaring everybody and that doesn't matter. But the fear factor is real. Regardless that's the reason for it. Vaccines and treatments, obviously, that's a big deal, the sooner we have effected treatments and vaccines, the more people are going to relax and the more people will feel better about getting on airplanes. It is an interesting question, which we'll get back to single-aisle versus wide-body, which will recover first and more strongly? Most people feel that single-aisle will recover more strongly. A single-aisle is more for shorter flights, for regional flights even some international but maybe shorter-range like going from let's say the East Coast to Europe. But when you talk about going from the U.S. to Asia now we're talking about wide-bodies, longer range flights. And the feeling is that the people are going to be a little less comfortable getting on the big planes, the wide-bodies to go for those long-range flights. So we'll see what happens. But there seems to be a general -- I mean everything I read is the same. It's very consistent in that regard, probably nothing else too consistent but that's consistent where almost all the analysts, all the smart people say that the single-aisles will recover first and more strongly. Let's go on to slide 9. Let's talk about what's going to take the -- I'm sorry. I should go back and tell you the picture on slide 8 when I get the picture is that's A320neo. This is the most important program Park is on right now with the LEAP 1A engines. On slide 9. Okay, that's a very nice airplane. That's a Bombardier Global 7500 with those Passport 20 engines and that's a business aircraft. It's a big one. It's a very big one. So this is the aircraft industry recovery considerations. Jet fuel prices, I don't know I've heard some analysts talk about that. I don't buy it. I don't think so. I don't think that's the real motivator. I think that the people who are buying these business jets, new business jets aren't thinking of doing it because they're trying to get better fuel economy as compared to their -- maybe their old business jet. I don't buy that. I'm going to say it's not a factor, but I think it's a pretty minor factory -- factor. Certainly recovery -- opening of the economy, economic recovery important. Corporate profits, why is that? Because in a way nothing else -- all the other stuff doesn't matter if a corporation is doing well. Other corporations may not be doing well. But if they're doing well then they may feel an investment in a corporate aircraft is justified. Stock market performance, why is that important? Well there's kind of what's baked into two categories. For the real large corporate jets like the Global 7500 that's going to be -- those are going to be purchased by big corporations. So that's why their profitability is important. Stock market performance, so you talk about smaller business jets that maybe cost $5 million to $15 million. Just the Global I think is like $75 million or something like that, so probably not in our budget. But the smaller business jets often they're purchased by high net worth individuals or small private businesses. Where is their money? Their money is on the stock market. So when the stock market is good, they feel better. When the stock market is going down like today they're not feeling so good. So there's that psychological factor. They may not even be liquidating their investments. They just feel poorer or they feel richer. That's going to be the impact -- that could impact their decision as to whether to buy a business jet. Social distancing and fear factor concerns for commercial aircraft. Will that benefit business aircraft? I would think absolutely yes. I think that's one of the main motivations now for people and companies buying business jets is that, they really don't want to deal with the difficulties. They don't want their people to deal with the difficulties, not just the fear part of it but the inconvenience of flying on the commercial airplanes. That's actually a reverse motivation for business aircraft. Will business aircraft recover before commercial? I think it might. I think it might for the reasons that we're just discussing now. Okay. Let's go on to slide 10. So we're going to talk about GE Aviation jet engine programs. And this is kind of a case study to give you a perspective on what's going on for Park in that -- particularly in commercial aircraft but also business aircraft those three sections of that pie chart we're talking about. You've seen this slide before. This is just kind of like a general overview of our GE Aviation jet engine programs' business some updates. But top left first item, we have that long-term LTA with Middle River Aerostructure Systems. Now we should explain that for people who are not clear. Middle River Aerostructure Systems was until about a year ago a sub or a division of GE Aviation that was sold to ST Engineering Aerospace a large and very good Singaporean-based aerospace company. But all the programs that we worked on through MRAS are GE Aviation programs. So that's the connection there a little bit less straightforward since they're no longer owned about GE Aviation. Redundant factory we'll talk about that later. So we're sole-sourced with these programs. The first four programs let's call that the A320neo family of airplanes, they all have that LEAP-1A engine -- that's actually a CFM engine. And then, there's a Boeing 747. COMAC, that's a Chinese company. There's the 919 which is single-aisle, the ARJ which is a regional jet. And then, there's the Global 7,500, which we've spoken about a couple of times. Top right quickly. We do produce another component for the Passport 20 for the 7,500 but that's through a contractor. And then also we'll talk about the 777X program. The picture here 748 – sorry, I'm rushing. I have so far to go -- so much to go through. 747-8 engine nacelles. The point of this picture which I really like is just to show you the size of these nacelles. You have a person there in the background. These are huge structures. So these are really good programs for Park, because that's all made with Park material. Those are structures with very large structures. And it's not just the outside. We have things on the inside of the nacelle, as well for which we produce the materials. Let's go to slide 11. So let's update how we're doing with these GE programs. So let's look -- maybe to say it better, how are the GE programs doing. So that A320neo family of aircraft, there's three aircraft, A320neo, A321neo, A320LR, A321LR probably for the long range, the A321XLR probably extra long range, all of those with LEAP-1A engines. That's the common theme here the LEAP-1A engines. That's a CFM engine. CFM is a joint venture for GE and Safran, significant reductions in those programs, Bombardier Global 7500, again business jets.  So that said, one of those three -- two to three sections of that pie chart, where you say there's risk, significant reduction. However, Bombardier recently announced the reopening of their plants, which were temporarily closed. So they obviously want to get back in the business of making these airplanes, these 7500 airplanes Global 7500s. The 747-8 Boeing, just announced -- recently announced no change to these programs. They announced big change in other programs for the 747-8. They had said no change to the program rates at this time, which we're very happy about. These airplanes are mostly sold for freight and cargo, at this point. But it's -- we love this program. This is the first GE Aviation program we're on. And we love that program even though it's relatively small. So next one, ARJ21, that's a COMAC program. That's a regional jet. Again that's – well, not again CF34-10A engines, that's a GE engine. No change in rates this time from what we're told. The COMAC C919, again Chinese airplane with the LEAP-1C engines. Again that's a CFM engine. No change in production ramp, schedule at this time. But the ramp is still somewhat down the road. If you want to get more information about the -- COMAC's plans to introduce the airplane, you might want to go on their website. They do have flying prototypes. But in terms of when your first sale would be you could check their website. It has a delay to some extent. We'll talk about that program a little later on. This 777X with GE9X engines. So this program is getting pushed out. All the POs we had for this calendar year was cancelled. Production schedule pushed further out. Boeing recently announced a rate reduction of this program. There is a redesign risk. So, remember, we're doing the containment wrap, where our materials go into something called a containment route. There's a possibility that the fan case will be redesigned. So the containment wrap is not even necessary, as the program could go away. So I'm giving you a lot of negatives here. But our focus is continuing on the qualification activities. I don't want to mislead you. We'd loved to be in this program. But I also just want to be realistic about it. There are risks to this program. This is not an MRAS program. This is a GE Aviation program. We'd love to be in this program. It's a beautiful airplane, as far as I'm concerned. So, we'll see what happens. We're still working on it. We've already invested quite a bit, in getting qualified in this program. And we're not done yet. Let's go to slide 12. So we're going to focus on, the A320neo program here. Again to give perspective, it's kind of like a proxy maybe for commercial aircraft. This is the big dog for commercial aircraft. This is the big one. This is the most successful airplane ever supposedly. And I mean there are facts that, back that up that it is supposedly. Let's go through it. This is to give perspective again. So our fiscal 2020 revenues from the GE Aviation jet engine programs are $28.9 million. Remember our revenues for the year were $60 million. That's almost half 48% of our revenues. So GE Aviation programs are important to Park. And they're all in that. There are -- no nothing for military, all on commercial and business jet. Approximately 60% of those revenues were estimated to be attributable to the A320neo family of aircraft, so 60% of that $29 million. That's an approximation and an estimate. We don't have hard data on that. But it is a number we feel relatively comfortable with as an estimate. So let's talk more about the A320neo, the largest engine order in history, for LEAP-1A engines for the A320neo aircraft family, at last year's Paris Air Show. The A320 aircraft recently dethroned the 737, as the world's best-selling commercial aircraft ever. The A320neo aircraft family was the fastest selling commercial aircraft in history, until earlier this year when the pandemic and economic crisis struck the world. There's a picture of the A321XLR again as part of that A320neo family. Let's go on to slide 13, continuing with this kind of story here. The A320neo program has ramped significantly for Park, in the last three years. Then we received -- Park received another increase from MRAS to our A320neo program forecast earlier this year. So you get the momentum it's going up and up and up. Then listen to this in February of 2020 a few months ago we received a letter from MRAS indicating that Airbus had requested MRAS and its suppliers to perform an assessment of their abilities to support significantly increased production rates for the A320neo family aircraft. We responded in March indicating we'd be able to support that -- those increased rates and we explained how we will be able to do it. It's not just yes or no. We have to explain how we could do it significantly increase rates. So you get the sense you get the feeling everything is moving up. Everything is pushing forward pushing forward pushing forward people upping production upping production. When I say people I mean companies in supply chain for these airplanes upping production upping production. Then, then, then in March of 2020 the global airline industry collapsed as a result of the pandemic and economic crisis. So it was quite a wrenching event which -- from which it has not been recovered yet. Slide 14. On April 8, 2020 Airbus announced this is public you can look it up that it was reducing production rates for the A320neo family of aircraft by 1/3 to adapt to the new corona virus market environment. Will Airbus drop another shoe? A lot of speculation about that. A lot of people think yes maybe they will. We don't know but it's something at least that we should consider. MRAS has recently provided Park with rate reduction indications for the A320neo aircraft family program as well as other GE Aviation programs. Although the rate reduction indications have been somewhat inconsistent and unclear they are significant very significant nevertheless. So what's going on here? It's not MRAS' fault. They're doing the best they can but nobody is getting clear information. It's confusing. It's difficult to sort out. They're doing the best they can. I just spoke to my counterpart there yesterday. So it's not like they're not doing a good job but just that the information is not clear. The supply chain I think it's actually in a state a panic maybe a little chaotic confusion. So that's the environment we are operating in. For us what this means is that -- well let's go to the next slide. The situation remains very fluid. Airbus and MRAS production forecasts are subject change and likely will change. However Park sales will clearly be negatively impacted by the significant reduction in production rates of the A320neo and other GE Aviation programs. What does this mean for Park is that we're going to have to be very agile and very flexible and be on our toes. My prediction is and I'll bet anybody a dollar, I'm not sure how I'll do that on this one that there will be lots of adjustments over the next six to nine months ups and downs ups and downs corrections, overdoing it, underdoing it, overdoing it, underdoing it, overdoing it, underdoing it because everybody is very distressed but nobody really knows what's going to happen. So it's a very challenging environment. So for us our job is to be very flexible and very responsive so we can adjust quickly to the changes. Fortunately that's kind of who we are. That's our calling card. That's what we do for a living. Remember, we have our culture steeped in the electronics industry. In the electronics industry things do change in two weeks. You have to be able to adapt. If you don't adapt you die. So it's a good thing for us that we have that history and the legacy stream in the electronics industry. Let's keep going. Slide 15. How are we doing on time? Okay. I'm going to try and push through here. I warned you though that this could be an hour. Slide 15 so here's another thing that's very critical. In addition Park's sales will be negatively impacted by the need to burn down the significant inventory held throughout the supply chain for those GE Aviation programs resulting from the unprecedented steep ramp-ups of those programs through the beginning of calendar year 2020 followed by the precipitous abrupt and sharp reductions in the production rates of those GE Aviation programs due to the corona virus. So again let's think about what was going on here. There was a push to move up, to move up, to up production, up production, up production throughout the whole supply chain. Remember that letter from Airbus? Can you increase -- give us a plan to increase your production dramatically after you already increased a lot dramatically just a couple of months ago. And then the rug gets pulled out from under everybody. Guess what we have now? Everybody has lots of inventory up and down the supply chain. It's not so much us don't worry about us but up and down that supply chain. This really exacerbates the problem and makes the difficulty even more challenging and more confusing. So we -- MRAS uses a company a contract company that does kitting. They have inventory. MRAS has inventory. Safran has inventory. Airbus has inventory. all up and down the supply chain. And not just us. Of course there are other components that are sold in these airplanes as well. It's everybody. I think I heard that CFM has inventory in other words engines. So let's keep going. So what do the significant reductions in GE Aviation program rates and the inventory burn-down mean for Park? Okay. Lots of questions here. How significant a reduction in the GE Aviation program revenues? Don't know. How long will it last? Don't know. What will recovery look like? Don't know. What will it look like on the other side? Don't know. And we're not just going to guess to make you feel better. If we have any kind of meaningful confidence and any answer to any of these questions we'll share it with you. We're not concerned about being held accountable or holding -- you holding us to it. But we just don't think, it's right just to share that any information with you which we don't know. Everybody is speculating about these things. We get these reports daily from supposed industry experts and analysts about all these questions and you're all over a lot and very emotional. One day they're negative. The next day they're not so negative. It's almost like the stock market in a sense. So, let's see. Thoughts about GE Aviation program revenues for fiscal 2021. We'll give you a little bit of information here, but we're kind of guessing just remember that perspective. Last year, we had about $29 million of GE Aviation program revenue, which if you divide by four, that's an average of about $7.25 million per quarter. $7.25 million per quarter right just doing the math. That's for perspective. Q1, this is kind of a transition quarter, but unfortunately transition all the way down, probably $3.5 million, $4 million something like that. This is GE Aviation program revenue. Q2, it could be $1 million. And what's the reason? Because all that burn down stuff is coming through, and all that inventory that's caught throughout the supply chain, is getting absorbed. There's not a lot of demand for -- at the OEM level, and then there's this compounding problem of the inventory throughout the supply chain. So if it's like $1 million, that doesn't mean that's actually supporting the actual rates for Airbus. But there's the burn down problem which is significant. We're not seeing much burn down in our Q1. But in Q2 there will be a lot of burn down. Q3 and Q4 just don't know, because so many variables. We don't know about Q2 either. We're guessing, and I just want you to understand that. We're guessing to help you out here a little bit to give you some perspective. We could be wrong. Q3 and Q4, we're not even going to guess, because there's so many considerations that could affect Q3 and Q4, like especially what happens to the aircraft industry. As it does -- does it start to get a little bit better? Is there a little bit light at the end of the tunnel? I know we all know there's light, next no light at the end of the tunnel. It's kind of almost sad, and I shouldn't say pathetic, but it doesn't really reflect well on these analysts, because next week they'll have light at the end of the tunnel. This week there's no light at the end of the tunnel. So I guess maybe let's lessen and don't listen -- don't spend a lot of time listening to the analysts. So let's go on to slide 16. So let's talk about Park's perspective on commercial aircraft industry, all right? We kind of finished our discussion with GE Aviation. We already talked about single-aisle versus wide-body. So the trend is already in place favoring single-aisle aircraft. Industry experts and analysts believe, the market -- as I said, we shouldn't listen to the analysts. But in this case we probably will, believe the market for single-aisle aircraft will recover before wide-body aircraft market. And I think that's a widely held belief, and there's a reason for it that makes sense. So in other words, you might say, well, if you want to be in commercial aircraft, maybe you want to focus most of your energy on single-aisle. Although we have that 747, which we love, it's small, and we'd love to get that 777X, again that's a wide-body. We may or may not get on it, but we'd love to get on those programs. So, it's not like we're saying we don't care about wide-body but maybe want to focus on the single-aisle. If you want to be in commercial aerospace single-aisle aircraft is the place to be at least for the near term. That's our opinion. There are three major -- this is really important. If you don't get anything from this presentation take this away. Three major single-aisle programs: A320neo. That's the big dog. That's the one that's successful. That's the one that was the best seller in the history of the universe until the coronavirus and economic crisis hit a few months ago. And then, there's the 737 MAX. Well, I don't think I can tell you much about that. You probably read a lot about that. Unfortunately, not a very pretty story right now. All these have LEAP engines by the way CFM LEAP engines. And here's one that's important: COMAC 919. This is that Chinese airplane with LEAP-1C engines. Now this is a little bit delayed. But my feeling is this will be an important program for Park. We're sole-source qualified for this program like we are with the A320. This will be an important program for Park, because to me, the Chinese prestige is all wrapped up in this airplane. This is a big deal for China to be a single-aisle player. They have the regional jet. They have the ARJ and it's actually not doing so badly. It was delayed a little bit. But to me, this is a big deal for China. They've invested an enormous amount in this program, and I just don't think they're going to let it fail. So to me, this will be an important program for Park. It's maybe -- well you should look at the COMAC website. You decide how many -- how far it is down the road. So maybe a little down the road. But nevertheless, we think it's an important program for Park. So we checked two of these three boxes here, and we think these are the boxes you want to check. If you want to be in commercial aviation that means you want to be in single-aisle. If you want to be in single-aisle, you want to check these two boxes and we do check those boxes. Let's go on to slide 17. Our strategy is to continue to emphasize commercial aerospace we'll discuss that in another page -- next slide or two, as one of our main end market segments. So as I just said, we want to emphasize military as well. But commercial aerospace, we're not backing down from commercial area space. We're doubling down in commercial aerospace. We believe that single-aisle aircraft is the place to be in commercial aerospace at least for now, and Park believes it's ideally positioned on the two preferred single-aisle programs. So we believe, we're well positioned in commercial aerospace industry not maybe through luck, but we'll take it. Why do I say that? It's not like we're smart enough to have figured it out several years ago that look we want to go after the A320 and the COMAC 919, but not the MAX. We would have taken the MAX in a second. We just got lucky to be on the A320 and 919 and not the MAX. But as far as I'm concerned, we are as ideally positioned as you can be in commercial aerospace. Now if you don't want to be in commercial aerospace, that's doesn't matter. That's not our decision. We want to be in commercial aerospace. So let's go on to slide 18, and we could talk a little bit a kind of a philosophical discussion many may not be interested in this about commercial aerospace. So, the first slide on slide 18 is the human race ready to pack it and resign itself to living in fear and isolation? Are we all living in our basements doing Zoom or stuff on I don't know our iPhones? I don't think so. I don't buy that. The human race -- it is human nature to explore and congregate. Virtual living is overrated. So, human nature has developed for many, many, many thousands of years. Explore is it in human nature to want to kind of know what's over the horizon? And not just want to know and look at in on your iPhone or Facebook. You want to go there. You want to see it. You want to touch it. You want to feel it. It's human nature and that's developed over many thousands of years. Human nature to congregate, people want to be together in person. They want to have that physical contact. So, some doctor or scientist says you can't take shake other hands anymore. Not very scientific to ignore human nature. It's developed over thousands of years and say it doesn't matter. It's so powerful as far as I am concerned that if you ignore it you're being foolish. But it's a very powerful kind of force that's developed over many, many years. People want to congregate. They want to be together in person. Think about it. You want to do a telephone meeting business meeting that's okay. But isn't it always better to be in person? Of course it is. So, to me these human nature things say commercial aviation has a place in the future. We're not all going to live in our basements in fear. We're going through a tragic crisis for the human race with much despair and heartbreak. But sometimes good things can come out even in the most devastating crises. So, it's not like we feel -- of course, we mourn the crisis like everybody else does. It's very tragic. I mean most of us know people who were very badly affected. They may not even be with us anymore by this crisis. But nevertheless good things sometimes come out of a very devastating crisis. We believe the commercial aviation and commercial aircraft industries will not only find ways to make people feel safe, but also provide them with more wonderful experiences of flying than ever before. So to me this is kind of a watershed moment where it's not going to go back -- people talk about will it go back? It will never go back. It'll go forward and there's some -- in my opinion my opinion some airlines will not make it and some will. The ones that will make it will find ways to make their passengers want to fly in those planes not only safe, but happy a happy wonderful experience like in the old days. Park believes that someday we don't know when, but someday people want to fly in airplanes again. That's the commercial aircraft industry being one of the world's great industries for many years to come. We believe the glory days of aviation will return and we intend to be part of it. Okay, let's go on to slide 19. We talked about our long-term forecasts. This is the forecast that was published at the Needham Growth Conference, our presentation in the Needham Growth Conference on January 15, 2020. The only change to it is we dropped in the actuals for fiscal 2020. The rest is just a forecast as what's presented. Then our long-term forecast is withdrawn. Why are we doing that? It's because we just don't know and we'd be guessing. And it doesn't -- we just don't think it's helpful or useful for anybody for us to just guess. Why do we not know? Because all those factors we talked about at the beginning all those factors which will impact how the commercial aerospace and business aircraft industry will recover we don't know. We don't know the answer to those questions. Remember at the beginning of the presentation we talked about all those factors. It's tough to make predictions especially about the future. Yogi Berra he's -- yes he's one of the sages of the 20th century so we need us some Yogi Berra. Our thoughts about fiscal 2021. So, Q1, we only have a few weeks to go in Q1, so we can give a little more information about Q1, even though remember it's unfortunate to pattern to kind of make the quarter in the last few weeks. So, that's why even when we have only a few weeks to go there's still some uncertainty about the quarter. But Q1 we think it's probably $12 million to $12.5 million something in that range topline; EBITDA $2 million-ish for Q1. Q2 we don't know. It could be -- revenue could be under $10 million. Remember that could be that big burn-down quarter. EBITDA we don't know maybe breakeven maybe a little positive, but those are really getting to be very -- almost guesses. What we'll do for Q2 for you is when we do our Q1 report which would be kind at the end of June beginning of July we'll give you an update on how we feel about Q2. Q3 and Q4, same story as it was with GE Aviation we just don't know and we'd be speculating and guessing to give any information on Q3 and Q4. Again, one of the big variables, the big, big variable is what's going to happen to the commercial aircraft industry? Is it going to start to get a little bit better? The key issue I'm told is cancellations and pushouts. Most of these airplanes the A320 they're booked for quite a while and with deposits. So, the key issue is not that they're getting more orders the key issue is cancellations and pushouts. A lot of the aircraft companies have deposits on these airplanes which could affect their decision-making in terms of whether they want to cancel or not. So, that's something we need to be looking for. We want to read an indicator watch for that so that you can see any -- a lot of cancellations for the A320. A lot for the MAX but maybe that's because the MAX is not doing well. I don't know. I'm not -- I can only speculate about that part of it. Our thoughts about our long-term forecast. Here it is. That's that pie chart again. It keeps coming back doesn't it? So, we're not going to quantify anything for you. But again military at this point seems pretty good and we're on a lot of really nice military programs. And we're happy about that. It seems pretty good. The risky areas are commercial aircraft and business aircraft and we discussed that in detail already. So, if you look at the forecast on top of the page we still think that the basic drivers and principles are in place. It's just that there's going to be a time lag or delays. So the question is how far to the right are these forecasts pushed at least conceptually? And of course, the answer is, well, we don't know. Let's go on to slide 20. Okay. So what's going on at Park? We haven't even told you anything about Park yet. First of all, we're still operating. We've been fully operational through the crisis. Our New York office is technically open, but all of our employees are working hard and effectively from home doing a great job. By the way, we're going to file I think our 10-K tonight but -- or later on today. The year end closing with the audit and everything ought to be done remotely including with the auditor. So it was a little bit challenging. I mean we haven't done that before, but our people got it done. They did a great job. Our Kansas manufacturing facility fully operational throughout. It's an essential business in Kansas exempt from stay-at-home order. But maybe more importantly, we're told by the Department of Defense, we're expected to stay open and we had 25 letters from defense contractors reminding us of what the Department of Defense said. My understanding is if you're exempt you're essential, I guess that means you have the -- you can decide whether to stay open or not. But if you're told by the Department of Defense you're expected to stay open. That's not the same thing. That means you're expected to stay open. It's not your choice, but we're happy to stay open. We're very happy to stay open. I'm delighted to stay open. I'm delighted to support these very key critical defense programs that we're on some of which we can't talk to you about. And I find it interesting that the media is so New York-oriented who focuses on what restaurants, waiters and hair/beauty shops, which are -- I'm not putting that down. Those people are suffering too. What about the factory workers? I mean there's a lot of concern some fear, some stress. We have almost no absenteeism. Our people are coming in every day doing their job and we're supporting those defense programs, which you may not know about exactly. But I'll tell you something, it's important that they're there for our security. You want to talk about security? Those are important programs and our people are supporting those programs. I don't hear much in the media about our people who are here with us too if you ask me. Safety measures in place in Kansas. Of course, these are what the usual things you would expect: masks, taking temperatures, prescreening necessary visitors, additional cleaning and disinfecting, adjust shift schedules so we can get a little more distancing social distancing where possible in a factory. Good news is our county in Kansas still has a limited number of cases, I think maybe nine the last time I heard, which obviously is not like we're used to in New York. Very fortunately, we've had no cases at Park at this time. I just have to let you know, if we do get cases there's a possibility we might have to close for a couple of weeks just to clean up the factory. And what we did, we got ahead in our military programs in case that happens. We're doing everything we can to prevent it. But of course, we can't guarantee it. I just want you to know that and we're not saying that's going to happen. We sure hope it doesn't. We're not planning on it happening although we have contingency plans if it does. That'll be -- probably be a two-week shutdown. Our people are doing great. Go on to slide 21. In Kansas, working on projects and new initiatives, we could just not get to in recent years because we are driving our operations so hard. I know it's a common theme. You heard a lot about that from us. You probably got tired of hearing about it. But we're taking advantage of the additional bandwidth, we now have available as a result of the reduced production schedule. So there are a number of initiatives a number of things that we're working on and all of them are good. And there are some more exciting opportunities for Park. R&D efforts we're not reducing them. We're even attempting to increase them. I've heard some companies saying they're reducing their R&D efforts, their R&D program or expenses by X or Y. Not at Park. We're not lavish spenders in R&D to begin with or anything else for that matter, but we're directing some of our freed-up bandwidth to R&D projects. I don't know if you noticed. When we recently introduced a new product E-752-MTS mid-toughened epoxy prepreg product and this information was covered in a news release. And we hope to be able to make additional product announcements soon as we work on a number of additional products at this point in R&D. Slide 22. So what's going on? Major expansion in Newton, Kansas. We're proceeding with the project. Our completion is pushed to the right a little bit early 2021. Part of that was just weather. We had a real bad winter, which prevented some of the construction a little bit because of the delays with the economy and virus. We're deferring some items. So the original budget last budget, we told you about $20.5 million probably down to $18 million, which we're deferring some of the items. And well why are we doing that? The reason we're doing that is we're -- it's actually a good thing because – because of our reduced demands, we don't have that intense pressure to get the factory up and running right away. So it gives us the ability to kind of hold back on some of these things so we can make decisions three, six, nine months down the road as to what would be ideal or optimal for what we need rather than being have that much pressure and then just we've got to get this done. A year later it may not have been what we really would want when we look back on it. But we didn't have that luxury. So we're taking advantage of that. So that budget may come back up later on to that $20 million number or something close to it. But right now, we deferred some of the items. And we are retaining flexibility in some of the items where we don't feel we need them right away. It gives us the flexibility to decide later on what to do. The déjà vu all over again. You know what? It's kind of a funny story, but I think I'll pass on it just because we're running out of time here a little bit. So slide 23. CARES ACT. We've not applied for any of these benefits or loans. We don't intend to. It's just not right for us. We -- Park has significant cash, no debt as we'll talk about. And we think that money should go to people who are suffering, lots of heartbreak despair and tragedy and we don't think we should take that money. I'm not placing judgment on anybody else who has taken money. I'm just saying for Park this is how we feel about it. We're not taking that money. Park's cash dividend, let's go on to our cash. So Park has paid 35 consecutive years of uninterrupted regular quarterly cash dividends without ever skipping a dividend or reducing the dividend amount. Park has paid $538 million in cash dividends $26.25 per share since the beginning of fiscal 2005. $538 million that's a lot of money for a smaller company like Park, don't you think? Well this is always subject to change in part in the future. Our current intention is to continue our regular $0.10 per quarter dividend. Balance sheet. Yes, we paid $538 million in cash dividends, but we still have $122 million of cash and no debt, no long-term debt. Is that good luck? Is it just an accident? I don't think so. I don't think so. So we've not taken any shortcuts. We don't cut corners. We built something from nothing at Park twice now. We made money the old-fashioned way. This may sound cliché, but if you live it every day, you feel that it's palpable. So nobody ever gave us anything. We never asked -- or we don't want anything from anybody, but there's another reason that's not just good luck and that's called discipline. We've been looking as we keep telling you for the last couple of years at acquisitions. And we've also said it's very frustrating because the valuations don't make any sense to us. I mean, we looked at companies where they were sold for six times revenue, six times revenue. And it's like what, I'm kind of old school, how can that be? And these didn't have the cure for cancer. They maybe thought they had a cure for cancer, but we didn't think they had a cure for cancer. So the valuations just got to be wacky out there. But it's a pattern. Every time we looked at something, the valuations were just way ,way -- no I'm not talking about 10%, 15%, 20% higher than we thought. I'm talking about three, four, five times higher than we thought was appropriate. And we kept getting told by bankers and such that "Look you really got to get in the game. You got to spend your money because you're missing out." Well we had discipline and we did the right thing. We took care of our shareholders' money and we didn't waste it and throw it away because we got emotionally involved or excited. Let's go on to next page it's still following on the point about our balance sheet. Great opportunities for Park to potentially buy a company or companies, which are highly strategic for Park, not just any company, something strategic for Park at very good or even distressed values. Now we don't want to sound Machiavellian like we're trying to take advantage of somebody else's pain. But it's our job to do the best thing for Park. So if there's a really great acquisition opportunity and their values are distressed we weren't going to pay more than the value of the company. It could be a once-in-a-lifetime opportunity for us. I guess, I spoke with some bankers about this. And they -- maybe when I'm being told you may have to wait three or four months for things to settle out before these companies become available. Right now I think people are so confused they don't know what to do. We'll see. It could be a really good thing for Park to have that balance sheet, to have that cash, to have no debt, that cash very important asset for Park real value now. Great opportunities for Park to invest in its own business and new business opportunities at a time when others may be looking for cover really important thing to think about. Other people may be kind of hiding hoping things will get better soon, just kind of waiting sitting and waiting. We're not waiting for anything. The world is now full of human tragedy and heartbreak which we mourn deeply. But sometimes good things can come out in even the worst crisis. We believe Park is well positioned to take advantage of the opportunities presented by the global crisis and we intend to do that. And that -- maybe it sounds like it's cold-hearted or Machiavellian, but I don't think so. It's our job to do the best we can for Park. We're not planning to hide in a bunker for the next few years. We tend to make this our time. It's all again, I'm hearing that people are very deflated very upset and maybe want to hide maybe want to even retire. They don't want to deal with the difficult realities. But this is not our first rodeo. And in 1999 or 2000, I think our electronic sales were like $520 million. Next year, maybe $230 million something like that. Get the point? And that was not because of an economic crisis. That was because the electronics industry got way ahead of itself overheated and it collapsed. We're not going to any bunkers. Others may falter, but Park is not going anywhere. Okay. Operator so we brought it in a little under one hour. If there are any questions anybody still on the line we're happy to take questions at this time.
Operator: [Operator Instructions] And our first question comes from the line of Sarkis Sherbetchyan with B. Riley. Your line is now open.
Aman Gulani: Hey guys. Thanks for taking my question. This is actually Aman. I'm jumping in for Sarkis. So I wanted to ask you mentioned that your -- that military makes up 35% of your business. Whatever you could comment, how do you expect the military and space program to grow for Park in the medium to long-term?
Brian Shore: So we really want to get on more military programs. And it's an important question because we're not looking to get on these big programs like the F-35, high visibility which means that they're very over budget and very delayed. And they're susceptible to reductions, cancellations. Look what happened to the F-22. All of the military programs run -- are niche programs, which I think are very safe and very important programs. We'd like to get in more of those programs. I don't -- it's not going to -- to me it's not going to be like a GE Aviation thing where you get a $30 million per year military program. It's probably going to be a lot of programs one after the other. We're very delighted with the Kratos program. We're very delighted with the ablative programs for the rocket nozzles. We're delighted with the drone programs, other drone programs. So we need to get out there and go find the opportunities, which we believe are there. But I don't want to somewhat give you a feeling that it's going to be like a one big event where -- great we got a $20 million program. We actually are not really looking for that kind of thing, which is what we don't want to do is set ourselves up or getting the rug pulled out from under us when these big programs, which are high visibility in Congress and everyplace else, we have the rug pulled out from under them. The programs that we're on nobody even knows about them. Nobody is interested, but they're very critical defense programs for our country, and we'd like to be on more of those. So this is a little bit of a wake-up call in a sense not that we're pulling back on commercial, we're doubling down on it. But I think we didn't have a real focus on military, we always like military but it wasn't a main focus for Park. Now it's becoming more of a focus for Park. I know that doesn't give you a real hard answer to your question, but I think that's probably the best I can do to give you some perspective.
Aman Gulani: No. No. That's very helpful. So I wanted to ask given your strong balance sheet and the current market dislocation, I mean, you did talk about M&A. But I mean do you anticipate putting that dry powder to work via M&A? And like where do you see Park doing M&A? Do you think it's somewhere where you can maybe expand in your military business, or would it be somewhere in the bay of the commercial side?
Brian Shore : So -- okay. So that's a good question. It may be both, because we're a materials company, and often materials companies aren't going to be focused on one end market or another. Now we're actually a little unusual, because we only focus in aerospace. A lot of our competitors, they'll do aerospace. They'll do windmills. They'll do construction and do automotive. We don't do any of that. We're just do aerospace, but when you're in materials, aerospace materials are often going to be in defense and commercial biz jets. So I really look at it like that. We look at, okay, what is more strategic? What is more unique? What kind of products that we want to be in that we're not in now which we feel absolutely kind of strategic maybe niche let's call it for the future? So, it's not like a discussion you have with an investment banker, where they just say, okay, when you put a nice graph on the screen and this is our chart. We want to be in this segment and that segment. We're way, way beyond that. We're much more into the nitty-gritty of what does this really mean? What would this acquisition mean three years, four years, five years down the road? What kind of programs do we want to be on? What kind of technologies do want to be in? We want to be in hypersonics as an example. So, again, I'm sorry, I'm probably not giving you a real great answer, but that's probably the best we can do, but going back to the main point about acquisitions, yes, we think that the cash is a great asset for Park now maybe once-a-lifetime kind of asset. And we feel like the world has turned on its head maybe even a good way for us, because we told you three months ago we were very frustrated with the valuations. Now we expect when we're told the valuations would come down, I mean, some companies don't even have a choice, because they're distressed. A lot of companies expanded by doing what? By taking out -- by putting a lot debt in their balance sheet, and I suspect that their banks are going to want to get that paid -- money paid back. So we'll see, see what happens. But we're definitely being overt about our interest in these kind of things, and I hope people are aware of it. Maybe it's good to have this conference call, because maybe other people aren't aware that we're looking.
Aman Gulani: Got it. Thank you. Last question for me. I just wanted to get a bit of color on your supply chain. Do you feel comfortable with the flow of raw materials to support Park's operations in the near to medium-term?
Brian Shore: Well, it's an excellent question. We probably should have touched on that during the presentation. It's a real challenge managing our supply chain. We did have an issue about six weeks ago, and we scrambled and we worked with MRAS. We qualified somebody else really quickly. So it's a lot of managing now, because the supply chain has all issues that everyone else does and some are doing better than others. Right now, it's okay. Right now we're fine, but we need to be paying a lot of attention and we need to be looking at alternatives and contingency plans and that kind of thing. So I would guess if I was going to -- asked to predict something that if you look for a year that you asked me a year from now, I'm not going to say, oh, yes everything is smooth everything is great no issues. I would probably say, yes, we've had a lot of challenges along the way. Hopefully, I would also say, we -- kind of way to overcome and manage through them. But I got to -- I would say, it was just a walk in a park and we had no issues.
Aman Gulani: Got it. Thank you. I’ll pass it on.
Brian Shore : Thank you. Thanks a lot for your questions.
Operator: Thank you. And the next question comes from the line of Christopher Hillary with Roubaix. Your line is now open.
Christopher Hillary: Hi, everyone. How are you?
Brian Shore : Good. How are you doing, Chris?
Christopher Hillary: Good. Thank you. Good. I'm going to miss some of your comments, I apologize. But I just wanted to ask, as you go through this period of kind of disruption and slowdown, is it presenting some opportunities for you to just increase your efficiency as you don't have to be in that rush mode that I think had been a challenge for some time? Do you see some ways to just run more efficiently restructure your factory floor a bit those types of things?
Brian Shore: Yes. It's a good question. So it's kind of a two-edged sword. As our revenues go down, then there's a part of it, where you say you're using your factory and resources less efficiently, because your fixed costs are just being absorbed over less revenue. But it's a very good point. We talked about fiber in the fourth quarter. It just drives us crazy. We got way behind. And we had a forecast that this fiber supplier wasn't able to quite make it and really made it very difficult for us in the fourth quarter. And there is economic inefficiency, in getting everything out the door in the last two or three weeks. That's not a smooth and efficient way to run an operation. So right now, of course we don't have that problem. We don't have the issue with shortages anymore. I'm sure a supplier would be happy to give us more if we wanted it. And so it does give us an opportunity to do exactly what you're talking about. And not just in terms of raw materials, but also in terms of how we operate the business. And it's something we're -- I'm actually glad you brought it up. This is something we spent quite a bit time is actually we kind of thinking through, how we do this? How do we better optimize our situation? So, it's a two-edged sword. There's part of it, where you say there's going to be less revenue running through your factory, less production, less coverage of fixed cost. But the other part of it is that at some point, you're running so hard that you're over the -- you're on the other side of the curve where your efficiency is going down.
Christopher Hillary: Okay, great. And then, you talked about it a bit. But just are there any other areas you might highlight where you think, the business development opportunities are improving more? I mean, I think you alluded to it. But if you could comment further that would be great. And thank you again. And I hope you all stay healthy and safe during this period.
Brian Shore: Thank you and same to you and yours. Well, I guess, let me answer that question two ways. There’s a kind of internal opportunity that we're working on internally in the factory. And those are interesting. Because they are things that were kind of always on the back of our mind we wanted to do. And I'm not just talking about internal efficiencies. I'm talking about going into other areas like you have new product line offerings, or other service offerings, that we were just never able to get to. Because our emphasis for the last couple of years was just get the stuff out the door, gets the stuff out the door, keep the customer going, never disappoint that customer. And that emphasis has changed to the point where we have the opportunity to look at these other opportunities. And we have been doing it too. I think probably for the last three weeks, Ben and a couple of our folks in Kansas are kind of working together on -- we have a whole list of things. And we update it every couple of days. And we're doing stuff too. We're pursuing some of these things. I really can't talk about them. Because they're a little sensitive right now some of these opportunities. And then of course the M&A area, we've discussed it already. But what we want to do is not compromise and just buy something because – okay, it's aerospace. But the question is always going to be, how does this make Park better long-term? Why does this make sense? That's why I said, we're interested in buying highly strategic companies as acquisitions rather than just "Oh, they're in aerospace." So -- and obviously at good values. So hopefully that answers your questions, at least a little bit. Operator, are there any more questions? Operator?
Operator: And at this time, I'm not showing any further questions, on the phone line.
Brian Shore: Okay. Thank you very much everybody for hanging in there. This is a record for Park over an hour a call. I'm kind of surprised any of those still even on the call got to ask questions, when we got done with the presentation. But thanks again for your interest. Appreciate it very much. Call us any time. And we'll be talking again pretty soon, because our first quarter ends at the end of this month. And we'll be announcing I don't know when, but my guess is end of June early July. Okay. Take care, everybody. Good wishes to all of you and your families. Take care of yourself. Be safe. But would be good to get the country open as well a little bit I think. Okay. Take care. Thanks again for your interest. Bye.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. And you may now disconnect.